Todd Shapiro: Okay let's officially kick it off. Once again, thank you very much, to every single one of you, our Red Light Holland shareholders. And we're excited to just sort of jump right into a Q&A. There's no presentation to start. We were very pleased with our last quarterly report that, we just put out this morning at about 8 a.m., call it, filed on SEDAR+ now. For anybody who wants to read through the management discussion and analysis. And of course, that's what we're here for today, to talk about everything that we've disclosed and talk about carefully our future plans. And any questions, any excitement from you all, any concerns, we're all here for you. So first, I'll give it to our CFO, David Ascott. And David, of course, is doing a wonderful job with many different portfolio companies. And as a microcap company, David is very busy. And David, I'd love for you just to run down, through the highlights, and then we'll jump right into the Q&A.
David Ascott: Thanks, Todd. And welcome, everyone. It's glad to have so many people join. As Todd said, we love valued shareholders. I'll quickly run over the highlights of our quarter. The information was released today on SEDAR, but the highlights would be we had revenue for the quarter ended December 31, of 1.3 million, which is growth of 9.9% over the same period last year. And on a year-to-date basis for the nine months ended December 31, revenue was $3.5 million, which is 28.9% growth over the same period in the prior year. And while we see revenue growth, we're also maintaining very strong gross profit margins, 42.3% for the quarter and 43.6% on a year-to-date basis. Both very healthy numbers. And I guess the main point that, I wanted to bring across is that, this growth in both revenue and gross margin, has outpaced any sort of movement in our G&A expenditures, which goes to what we were talking about, the last time we did a presentation, to the investors that we're looking to grow businesses while right sizing the cost base underneath. And in many respects, we've been achieving that across most, if not all of our operations in North America, and in Europe. And we're proud of the path that, we've gone on and looking forward to the future as well. I'm not going to inundate you guys with any more in-depth financial analysis, but as we get into the Q&A, if you have any specific questions on the information that we've released, I'd be happy to address it. So, Todd, at that point now, I'll pass it back to you.
Todd Shapiro: Thank you very much, David. Yes, and of course, we filed it. So if anybody wants to go through an in-depth analysis, feel free. And then if there's more questions today, we'll answer them. But of course, if you want to take some time to read through the financials and then get back to us, we're always available and we can direct questions to David even at a later date, if there's more digging that you need to do. Just so you know, on this call, we also have Shashkes and she's our Chief Technology and Innovation Officer. And if there's any questions that's directed to her, we'll make sure that she has that ability to answer them as well. And Troy DuFour, our new Senior VP of Sales, we're very excited to have Troy aboard, with a different strategy that we're approaching in terms of business-to-business and direct to store, as opposed to necessarily direct-to-consumer. And Troy can talk about any strategy around sales if anybody has questions for him as well. Maggie, who is incredible, will help facilitate all questions. So the process will have to be that Maggie will have to unmute you and then you'll have to ask the question live here, not through the Q&A and not through the chat form. You'll have to come on and speak to us. And that's what we want. And we hope that everyone on the chat, or on the Zoom call will ask questions. And for those just listening, feel free to ask, hopefully get some great information and have some fun doing so. So, Maggie, why don't we open it up to those who want to raise their hands to then come and ask the questions for the Q&A here. Do we have anybody?
A - Unidentified Company Representative: Yes, I'm unmuting Jeff. You can go ahead and ask your question, Jeff.
Unidentified Analyst: Hi, guys. I guess, there are two main questions. I think one is for Todd and one's really for David. So the first question is regarding the gross profit. I'm curious why that's down relative, to an increased revenue number. So I'm just wondering, what kind of happened there, as far as the cost of sales went. And then the second question is, around Happy Caps. And I'm sure, I don't know if you guys look at the comments online, but a lot of people have posted about some reviews on Amazon, with mislabeled boxes. So, I'm just curious what happened, as to why originally the boxes were mislabeled, why they went out, and why nothing was done about it. And are we still shipping mislabeled boxes?
Todd Shapiro: Okay. So, David, why don't you talk about, the gross profits and we'll jump into Happy Caps after.
David Ascott: Thank you. Yes, I got muted. Yes. So to answer your question about, the gross profit and a very keen eye to notice that. It basically comes down to our product mix. And sorry, apologies. I have a dog barking in the background. So it basically comes down to our product mix across our different, the different companies. And it's not that significant a fluctuation. But we're going to with the seasonality of all of our different businesses, having peaks and valleys at different times throughout the year. We will see fluctuations in the gross margin. But all in all, we're still very happy with the results.
Unidentified Analyst: Okay. And so is there any where so I can access a financial breakdown from subsidiary-to-subsidiary, to kind of have an understanding of what's going on from company-to-company? And if not, something like that be made available?
David Ascott: Typically, we don't provide the basis of, our consolidation. We do in our segment note, go through geographic region. But that's down to a profitability point of view. It doesn't talk about, gross profits in isolation. But it's like I said, it's not just, it could be just products within one particular group, or a particular group. So, to get down into the nitty-gritty of what's actually driving, 1% or 2% move in the in the gross profit would actually be - be pretty in depth. But I guess as a takeaway, what I can say is that there's nothing significant that's happened within, within an organization that's driving that, other than then seasonality and the product mix, within our sales.
Unidentified Analyst: Okay. Thank you.
David Ascott: Todd, did you want to take?
Todd Shapiro: No, I was just muted there as well. It's a complicated process. Maggie has to unmute. Yes. So, Jeff, and you talked about Happy Cap. So I'll add a little bit to David, by the way, though, for gross profits. Consumer spending habits, are down a little bit. We're seeing, not as much action at times in some of the SmartShops. There's more competitive rates that we've had to come out with Happy Caps. We had to have, some more competitive rates as well. We wanted to move more volume. So, we brought some of the end pricing down. And of course, that slips a little bit on the gross profit margin. But it's also about brand awareness, and brand building. And so, we're really pleased, with the strategy that we've done. And they slipped a little bit, but revenues went up a bit. So in a way, it's balancing itself out. And it's all about long-term growth here. And it's been a difficult economy, across the board. And a lot of these items could be considered luxury items. So, we want to make sure that people can afford them, can get them in their homes, can learn about the mushroom culture, can start to cultivate with them, can grow them with their children. And we're seeing a great response from Happy Caps overall. You saw how we increased our points of distribution, which has been phenomenal. And we're looking, by the way, to hopefully land a couple of very big contracts in the future. We have some wonderful conversations going on with Happy Caps right now. So, we're very excited about that as well. In terms of the mislabeling, I'm not going to lie to you. I have not seen anything, about mislabeling at all. Can you specifically cite, what you're referring to for the mislabeling of the products?
Unidentified Analyst: Sorry, I was muted there. Yes, basically, there's just comments online that are saying. They bought one variety of mushroom, but the grow instructions on the kit - are all the same regardless of what variety they bought. So, they're following the instructions. I don't remember the exact type, but say it was, they bought oyster mushrooms, but the instructions were for shiitake, or something else. And so they're following them. And they said they called, there's multiple comments on Amazon that, say they call customer service. And the service rep basically says we're aware of the problem, but there's a video you can watch online and that's the solution?
Todd Shapiro: Jeff, the way the boxes were designed, were just to have a, sort of an overall feel of what it's like to grow the mushrooms. But there's a barcode on every single box that it specifically says scan here to get to the video. So, I'm always sort of cautious, when I see a few comments, to try to say that they represent the overall success and growth factor, of the Happy Caps kits. And in terms of like a couple of comments saying that they didn't bother to go use the scan code to go and watch the video that very clearly is specific to oyster lion's mane or shiitake. To me, I would say that's a little bit on the consumer. It's pretty clear. And it's just an overall picture. But yes, at some point, could we maybe reflect the boxes that people are truly concerned? Sure. With that being said, you order a big inventory of boxes, and you got to watch your COGS. So what's the payoff? A couple of bad comments that they don't like the overall image, of how to do mushroom growth, where they have specific video that, they can direct themselves to. That's super clear. And, you know, 98% of our consumers do it that way, or replace a bunch of different boxes and get into the multiples of thousands of dollars. So, this is the stuff you have to weigh as a business. And we're quite confident that the majority of people are really good at growing these mushrooms and having fun doing so.
Unidentified Analyst: Okay. Just to play devil's advocate to that, 25% of the comments on Amazon are one-star reviews. So while not everybody may be articulating that, I think a lot of people are struggling to have success growing the product. And I mean, I don't know what the return rate looks like on Amazon, but it doesn't seem like people are fine. Whether you think, they should be scanning it or not. I've never scanned a product on a box. I follow the instructions that come with it. So, I'd be curious if you know the return rate from Amazon. And I just think that 25% of reviews, being one out of thousands of reviews, being one-star is concerning. And then I have one-follow up question on that?
Todd Shapiro: Yes. Let's stick to one question at a time. And you're obviously like, I've spoken to you in the past and you're super negative on the company, right. Like you're just you're negative towards this company.
Unidentified Analyst: But it's not negative.
Todd Shapiro: I mean, no, no you are, you are. Let me just finish, please. Okay. You spoke. I'll speak. I absolutely value you and everybody as a shareholder. But just to hammer and look at the one-stars as opposed to looking at all the great products, Happy Caps has done a phenomenal job of scaling up. Okay. We started as a very small mushroom farm doing a few hundred kits a week. So when you get into a live culture, and a live fresh produce, and start to ship that and see the tremendous growth, with a lot of different 3PL opportunities, and logistics. And it becomes complicated, to scale up products. We're not just like a supplement that, can sit on a shelf for two years. And by the way, you can look at any supplement company right now, go and look at their financial statements. The amount of supplement companies that I spoke, to over the last two years that wanted our money for me to buy them, and could no longer afford their advertising, and their marketing. To keep people buying their products, to get that lifetime value, and now are shut down are - there's many of them. So, we think we're doing the produce game very well. You might go to Longo's, you might go to any grocery store, buy a raspberry. And sometimes they get moldy within two days. You might buy a banana and sometimes that banana bruises within 24 hours, and other times that last six days. You have to keep in mind that the mushrooms, and the mushroom kits act as a live culture. They're not always a perfect science. It's nature. And the one thing that we're proud of, as a company, and I don't need to focus on the one-stars. Because we offer a free replacement kit for anybody who has an issue with any growth. And that's what we do in terms of our corporate responsibility to make sure the end consumer is very happy. So if we want to just focus on the negative, as opposed to a scaling up, and getting an immense amount of sales, weekly averages way up, and growing a great brand that people really, truly love. We can sit here all day long and play devil's advocate stuff. But as a company, we remain confident in the strategy. We love the fact that we've consolidated into Pickering with a much bigger operating machine. And the fact that we're looking at much bigger sizable orders from big retailers, is the only way we could do it. And are there growing pains, in any part of a live culture and produce? For sure there are. But we think we're accomplishing it quite well, and we're mitigating any of the problems.
Unidentified Analyst: Okay. So, but that, in fairness to me as an investor, the three things I would look at, for growth is customer reviews, financial data, which is consolidated into the overall company. So I don't see, I'm unable to see where any growth is coming from?
Todd Shapiro: Jeff, Jeff sell your shares. I mean, like, what can I tell you? You're sitting here, you call me weekly, you email me, you hammer me.
Unidentified Analyst: Only once.
Todd Shapiro: I don't know which many prongs [ph] on the phones, but like we've had these conversations. Have you ever bought a home grow kit yourself?
Unidentified Analyst: I have.
Todd Shapiro: Okay. And have you had success with it?
Unidentified Analyst: Well, it was growing out of the box when it arrived.
Todd Shapiro: Okay. Did you call and get a replacement and then have success with that one?
Unidentified Analyst: No, because as a shareholder, I don't want to burden the company with the cost of having?
Todd Shapiro: There's no burdening. There's absolutely zero burdening. We have a great customer service program. We look forward to learning from our loyal customers, and our loyal shareholders. I encourage you and implore you, to go and look at every single product you've ever bought in the last year. Have every single one been perfect, when you got it from shelf to the, by the time you've eaten it at your home?
Unidentified Analyst: No, but I mean, I understand that that's the nature of it, but these companies are still able to turn a profit while selling that produce. And then that brings me to the other third point is what I would look at is number of locations. And so, I think the listed number of retailers is a hundred and something. But when I call most of the retailers on the website, they're no longer selling the product. So my question is…?
Todd Shapiro: So Jeff, Jeff, again, you're being negative.
Unidentified Analyst: It's not negative.
Todd Shapiro: There's a seasonality issue, right? So we update those in terms of our map of where things are as much as we can. A lot of companies bring them in for a few months. They bring it back in the spring. They take some time off in the summer. They'll bring it back in Christmas seasons. And we're always trying to keep up with companies. And at times, just because they're not ordering doesn't mean they're never ordering it again. As well, what I'd like to say is, there's different points of distribution that you're seeing. So while that number of retailers of 135, it's still very accurate. We have Van Nord's that's distributing these mushroom home grow kits, to different retailers. So, we're always trying to keep up to-date with the new retailers, and the old retailers. But it's not a constant. It's not like stuff, can always be updated by the hour. So, we're doing our very best on that. We disclose all the information very accurately. We have to. It's our fiduciary responsibility. And for you to say there aren't retailers, sometimes someone like, are you getting to the top buyer of that said Canadian tire, or the top buyer of that said Longo's or that small market, whatever we may be in. You might be with an employee, so they're not there now. But it doesn't mean that they're not planned, to be there in the future. So again, you can look at the few stores that have a little bit of turnaround. The ultimate thing is we've absolutely reported accurately in the amount of retailers that we're in. And we're constantly updating that map to make sure that it reflects where you can buy the kits.
Unidentified Analyst: All right.
Todd Shapiro: But I appreciate you, man. And I just...
Unidentified Analyst: I don't think you do. I mean, I'm not trying to genuinely, was not trying to be negative on here. I'm asking questions and you're calling me negative. I don't know what else to say. One in four or one in five, one in four people?
Todd Shapiro: I think it's the history of you hammering me, sending me emails, calling me.
Unidentified Analyst: I've emailed you three times and called you once in my life?
Todd Shapiro: Yes. But, you got to admit, has there ever been like a friendly tone with me? And so it seems. And do you post on the forums?
Unidentified Analyst: Yes.
Todd Shapiro: Which - who are you on the forums?
Unidentified Analyst: Well, I'm not going to say. I don't think it's any of your business?
Todd Shapiro: Exactly. Like, so here we are. So let me let me talk to you, Jeff, because here we are as a publicly traded company.
Unidentified Analyst: Yes.
Todd Shapiro: With full transparency, with an incredible team of not only business minded people, who obviously want to create shareholder value, who dedicate our lives to this company. But also are compassionate, and empathetic human beings, because we ultimately want to help humans with this company in our approach. We're all about sustainability. We're all about cautious growth. We're all about building a brand. We're all about one day hopefully, being right there, focused on that psychedelic core focus, to help human beings. So, when we have shareholders that go post on chat forums to create negative vibes and then they won't even say who they are in those forums. Like, I'm sorry, man. Like, why can't we all just be open and honest here? It makes it a lot friendlier conversation.
Unidentified Analyst: Well, what makes it friendlier? I'm asking you questions and you're calling me negative, but I haven't said anything.
Todd Shapiro: You're not disclosing who you are in forums. And I know that there's about four or five people stirring up problems, and I don't go on the forums until I have other shareholders, who are awesome and loyal. But then saying you should look at the forums, because there's three or four people who are always just hammering the company. And for me as a micro-cap company, as we're doing slow and patient growth. We did a Q&A last year, very similarly to this one where we specifically stated slow, steady patients. We believe that patients can be bitter at times, but its fruit is sweet. And for me, it's like we've been direct with the message, but I don't understand why on a forum, which I know you're one of them, you're coming in. And so, if I weigh this collectively and I don't want to waste much more time on this because we have 60 or 70 other shareholders here who want to jump in. It doesn't make sense that you're negative on the forums, you're negative for those few times, or the time you called me, and you're negative to start this Q&A as opposed to looking at the positives, and just having an honest conversation without only negativity. Where's the context? Where's the middle ground? So is there any middle ground? Were there things you were pleased with?
Unidentified Analyst: Well, I think overall, the general stated vision of the company, it had me excited and I think is generally positive. But again, I think the Happy Caps is overall a successful thing. But if I can't see the growth in their individual financials, I'm looking at bad reviews online and I'm calling retailers who say that they no longer carry the product. Where do I find that middle ground? And that's why I'm asking you. But you just tell me I'm negative?
Todd Shapiro: Well, call the 98% of retailers that still have them. Look at then the three, four and five star reviews. Look at our re-strategizing, I don't even know if that's the word, to make sure that we are doing our very best to get better reviews, with our customer service that we think is tremendous, with the ability, again, that we always replace kits, if people have issues. And the fact that a lot of people just love these and a lot of people are having fun with them. So that to me is middle ground, Jeff.
Unidentified Analyst: Sure.
Todd Shapiro: And the fact that we've increased distribution, increased sales and growing a brand. But I appreciate your time too. Okay, Maggie, let's yes... A - Yes. I'm going to go ahead and unmute Gabriel. You can ask your question. We have a few people in line.
Unidentified Analyst: Thank you very much. Thanks all for having us on. I appreciate your time and your presence. My question is just kind of the direction of SR Wholesale and the strategy. When I invested a couple, a few years back now, my kind of impression of SR Wholesale, was that it was going to be available across a lot of Europe. It was constrained then, to just the Netherlands, as I understand it. And it's now being brought over to the U.S., which is very exciting. What's kind of the general approach and how to further scale that? And what kind of products might be picked up along the way?
Todd Shapiro: Yes, thanks for your patience as a shareholder, and for your support. SR is a great company. We hired a manager there, general manager named Peter, who has done a tremendous job to giving that a very healthy balance sheet. As we distribute truffles. I would say, Hashkes and I talked about this, and we probably listed more [ph] legal than anybody on the planet, in terms of publicly traded companies. So, we're really proud with the job that Peter is doing there with the sales team, Nancy and Marchand [ph]. And there's a couple other people there, who kind of support it, but it is a small outfit. And they carry a variety of products. I mean, we're talking close to a thousand SKUs, I believe now. And they're always looking to have their ear to the ground to what's trending, what's popular in mushroom supplements, what's popular in different types of varieties of products that you would see at SmartShops. We have a good finger on the pulse with our Utrecht SmartShops in particular, Mushroom & More. That's really getting a very good vibe of ending stigmas around these types of products, and then supporting them with other products. And yes, Peter and his team have now started really opening up channels into the rest of Europe. They're starting to make these connections again, and we're re-establishing connections. One of the things that, I think people should understand that, the compliance in our company is phenomenal. And when I say that we have legal opinions on any market we enter with any of our products, some obviously you don't need, some that are like just obvious you can sell there, but we have quality control. Shashkes goes over all ingredients. We make sure that people are learning about the certain products. We're not just selling them as I joke, like fireworks that people can just go use recklessly. And so, a part of that strategy is good, healthy products, products obviously that have good margins in them. And ones that, we want to support and be able to distribute, because they're trending, they're popular, they're in. And we have, relationships with hundreds of retailers, and we're always looking to expand that. And in terms of it coming to not only the United States and North America, and that's sort of Troy's strategy here, is to focus on not only just fresh mushroom sales, but as we open up the door there, and Troy can speak to this in a moment, we're looking to perhaps carry other sorts of products, learning from what we've learned from SR Wholesale. Anything from the templated website where, you can get great wholesale orders through the different retailers, to understanding what works, what doesn't work. To understanding the margins, and to understanding ultimately what consumers want. So Troy might want to jump in here to talk about some of that fresh mushroom sales strategy.
Troy DuFour: Great. Thanks, Todd. Yes, Gabriel, we've got a very, good strategy in place for, working hand-in-hand with the team at Holburne Farms, who's the largest producer of exotic mushrooms here in Canada, to really be their partner and be their sales agent, as we try to expand into direct store delivery. And going direct to some of the larger retailers, in both Canada and the United States market. So, we've really begun the process and to Todd's point earlier, patience is a bit of a virtue on this one. Sometimes these sales cycles are, somewhere from six to 12 months, but we've started conversations with a lot of large retailers in both Canada and the U.S. and it's really about, getting fresh product with unique labels and packages that can really, drive more trial and awareness behind exotic mushrooms, because it's such an underdeveloped category here in Canada. So, we continue to work on that and the opportunity is enormous. It's just really getting that first customer. And with that, we have a strategy to attend a couple of large trade shows that really focus on produce, because there's so many different trade shows out there where you can meet with retailers. But we want to make sure that we're at the ones where we can get the most attention and where we can get the right ear to focus with produce category managers, whether it be, like a Walmart or a Loblaws. I don't want to, you know, give you any idea that we're getting into those anytime soon. But, those are the type of retailers that we want to go after and have that strategy where, we can sell shiitake mushrooms, fresh mushrooms to all of these retailers on a direct basis and then work with them as, like a broker sales agent relationship. And we also have, we're also working on some other opportunities for smaller stores as well. With some strategies that I'm working on right now, where we're going to get out and visit some retailers, over the next week to really understand, where they're sourcing their products today and what's their appetite for a change. Because ultimately, that's the largest conversation with any of these retailers is change and sometimes change when you're dealing in produce. They've been doing this for 20 years and they've got partners that they've been doing it for 20 years. But, we believe that the quality of our products and our packagings will outweigh, some of those relationships.
Unidentified Company Representative: Okay, I'm going to go ahead and...
Todd Shapiro: Sorry, I would just add to that, Gabriel, that we, through our farm in New Brunswick, AEM our shiitake do end up in many of the Loblaws we've previously announced that, in all 47 farm boys. So we also have distribution partners and sales through that operating farm already. And as Troy said, we're, the fresh mushroom sales business we see to be a great potential. Especially when you're supported by some of the best mushroom farmers in the world. I'm actually currently at the National Mushroom Conference. It's in Las Vegas and we're talking like every single world-class farmer that you could ever imagine here, mushroom farmer. And I look at our guys, Mike Medeiros and Nick Furlano and Steven Rotiroti and their team, and the fact that we get to be partnered with the top tier of these world-class farmers in the world. And I'm seeing them rubbing shoulders with, the farmers from Poland, or the farmers from Pennsylvania, or the farmers from, ironically, from the Netherlands. And I get to be now a fly on the wall in these meetings, to see where the entire industry was going, which, by the way, the mushroom industry seems to be alive and well, and this conference is absolutely supporting that vision. And to be a part of that vision and to be a part of this team, and especially as we get into the build in Peterborough, we're really seeing a great opportunity here. The mushroom trend, we feel is not going away and it's a great business, to be associated for potential long-term growth. Sorry, Shashkes.
Sarah Hashkes: Yes, I just wanted to add one more thing that has been coming up with discussions with Peter. You might have heard Germany has legalized marijuana. And while SR Wholesale is not a marijuana company, it does sell a lot of grow mediums and accessories. So, we're definitely very much looking also, again, as Todd mentioned, we need to be according to regulations and making sure everything's okay, but that could potentially be a very interesting market as Germany's very big economy in Europe.
Todd Shapiro: Gabriel, is that good for you?
Unidentified Analyst: Yes, thank you so much for the insight. And to Shashkes' point in Germany, I think this is kind of what my bearing on that question was, was just getting kind of a temperature reading on the non-produce kind of direction, I guess, of any SR Wholesale expansion. Because with the head shops, it really seems like there are so many kind of adjacent, yes adjacent sales opportunities there that aren't just, a bud or just, just a truffle?
Todd Shapiro: We couldn't agree more. And that's exactly part of the strategy.
Unidentified Analyst: I appreciate you all. Thank you.
Todd Shapiro: Thanks, Gabriel.
Unidentified Company Representative: Okay, I'm going to go ahead and unmute Todd. And I do see there's a couple more people with their hands up. So thanks for being patient.
Unidentified Analyst: Thanks. I have two questions very brief. The first one is, if I go to Amazon today, and I want to purchase your product, two out of three varieties are sold out. How should we interpret that? Does that mean they've been popular and just waiting to be restocked?
Todd Shapiro: Great question, Todd. So we're actually ensuring the seasonality issue of mushrooms. So right now, what we're trying to do is make sure we get our SKUs lined up well. We're working with the team in Amazon to try to ensure that, we time what we think is a better opportunity, to time the market. So I don't think you should misread it in terms, of we're sold out, because they like absolutely sold. This is the slower season for the home grow kit season. So, we're absolutely just working on our Amazon strategy. Part of the gross profits are slipping, I'll be honest, the Amazon is tough to make money on between their FBA fees, and shipping the product there, and dealing with Amazon. I mean, it's wonderful in terms of the world's greatest retailer. But if you ask most, smaller to midsize companies who are on Amazon, they'll all say the same thing. Profit margins aren't always there. So it's a great billboard for you. It's incredible. And we do plan on having all the SKUs back up, and ready to go in the coming weeks. But for now, we're kind of just revisiting exactly even what the homepage looks like on Amazon, looking about how we promote them on Amazon. So again, I think you saw in the press release, probably that a big part of our focus has shifted from DTC, which really Amazon is. It gets direct to the consumer and more about retail, like B2B, business-to-business. And that to us is, where we're seeing great success. We're opening up more retail channels, having actual store clerks that can explain the product a little bit better, and understanding exactly when back to that live produce stuff and back to what Jeff was saying, to really understand when things are moving, when to reorder, when to restack. And so, this is all a bit of a learning curve, as you scale up. And again, we're very proud of how we scaled up this tiny business. We were hitting numbers over the Christmas season that we were blown away by. But again, it's about perfecting it, and giving the end consumer the best experience. So within Amazon, I think you'll see in the next 48 weeks, sort of a different approach how Amazon looks.
Unidentified Analyst: I bet your product packaging will blow people away, when they see it in the store as well. And my second quick question here, and I'll hop back in queue, I know others are waiting, is when, or where do you see the next major market for psilocybin mushrooms opening up?
Todd Shapiro: Yes, I always hate to give forward-looking stuff, because that's the stuff my lawyers say you can never - mislead investors with. I think Sarah's got a really good study anyway, in terms of where markets are going. And it doesn't mean that Red Light's entering these markets, but she can speak to what's going on. And there is a lot of news around psilocybin. And I do appreciate you bringing it back, to really where our core is, because ultimately, we want to make sure that people have the right to try. People have responsible adult use access. And Sarah can really help answer that question.
Sarah Hashkes: Yes, so, we've been following very closely everything that's happening, especially in the United States, as well as Australia. And there's a lot of exciting stuff, right, especially on the legalization, we're seeing bipartisan support for legalization in various different forms. One of them is more accessibility similar to Oregon, right? You don't - not a medical exactly perspective. You don't need a doctor or a prescription, but still supervised. And that seems to be the direction that a lot of the places in the U.S. are going. We have a lot of the connections in Oregon on the ground, following the market there, it's not doing amazingly well. Let's be honest, it's very pricey. And that's sort of - how do we get people from underground, this is Red Light Holland mission, right from underground to mainstream, requires also accessibility. So we're really trying to figure out that piece of how can, we bring our knowledge, to get that to people in an accessible price. And it's - we're going to be patient. And when a great opportunity comes along, you will know about it as well. The next market we're really looking at is Colorado, because we're hoping the initial regulations or ballot measure that came out allowed home grow kits, which, as we're really good experts, at when it doesn't come to sell assignment and transferring that knowledge with a combination of our farm in the Netherlands to home grow kits, is something that our company, could potentially really make big leaps in. And again, we need to wait for the regulations, to actually be written, because we have seen companies jumping into early, putting a bunch of investment in, and then oh, the regulation is a little bit different than what they were expecting. And that's not going to work. And then we're talking about the Australia front, and there, we're doing a lot of work. This is part of why we have now PharmAla as our consultants, and we're working very closely with them. They have successfully imported their MD&A into Australia. So they have that knowledge, they can help us with all the regulations of getting our capsules to a grade that will hopefully allow us to actually get them into Australia. The regulations are still, are in a sort of draft mode. So also waiting to see what happens there exactly. But I would say these are sort of the - markets were very much paying close attention to, as well as a lot of legalization efforts are happening all over the East Coast. We're really hoping maybe this year, California finally legalizes. So, you're just seeing more and more of people, freeing the magic, wanting this to be accessible and above ground, not just going to stores that get shut down, or where you can't get an accurate dose. And I think this is really, I'm so excited about the work we're doing around the accurate micro dosing dose, because that is not something that exists in the underground. So, you're going to buy some chocolates that say they're micro dose, you don't actually know what's in them, if it's consistent. And anecdotally, I can say this is an issue for people. So I'm really hoping that we can get, these products to the next level, and be there when regulations come out, ready to really take a big step into the market. So that answers? Okay. I'm seeing a hand clap. So I'm guessing that's it.
Unidentified Analyst: Yes, I'm sorry, I muted myself. But yes, I appreciate the answer. That is great. I understand you can't be too specific with a forward-looking statement. So I'm good. Thank you.
Todd Shapiro: Yes. And Todd, I think Sarah said it best. And I said this probably a year ago, and we'll maintain this message that we don't want to make the same mistakes that a lot of the cannabis companies made is, they went and built massive facilities. They went and opened up a ton of shops, they went and did a lot of things without truly understanding the market first. And Red Light's core mission is, to ensure that we are cautious with our capital while learning about these markets. And if we see opportunity, trust me, we'll pounce into it. But it's sometimes better, to learn from others failures than it is, to try to be that, fail forward yourself. So, we're kind of like really watching what's happening. Companies are already failing in these opening markets and emerging markets, companies are already running out of money. So, Red Light is looking to learn and who knows, that's where opportunity comes from and points where other businesses at times can be desperate. So, it's good. And we do have great connections in Oregon that I'll say.
Unidentified Analyst: Great. Thanks.
Todd Shapiro: By the way, I do want to say like, if you were here from the beginning of this start of the Q&A, and we had this one person, come on, Jeff, I don't mean to single it out. But what I will say on the background on the emotional side of a CEO. And I'll just be completely honest with you, like, we don't run our company based on what happens on stock chat forms, but we get it's a part of the process when it comes to, like being in this space. But I will say like, I do like I'm a very transparent individual. And I also love to call out hypocrisy. And like of any of these chat forms, like I would like to think that if people are really invested in this company, I think would be great if they disclosed, who they were all the ones who do come like there's, there's a handle D Trader [ph]. There's Stock With Me [ph], there's Nomad, there's Cousin V, there's Crypto Caper, there's Murray Diapers, there's Joey. And these people can be ruthless at times on the company, they can be very ruthless at times on me even joking, you know, some Jewish jokes and stuff like that, like things that can get pretty, pretty, on the side of slander and libel. And I'd like to think if they're real investors, and they have all these concerns, like I really hope those names that I listed are here today. And let's talk instead of just posting negativity on these forums. We're here to talk to you. Are any of those names that I just mentioned before we get into our wonderful, loyal shareholders that I think are patient with us and really love having these very humane business like professional conversations, but the other ones who just like go off, we're here. So are any of those names here, because I want to talk to you and if not, it makes me think, are you a paid basher, which has been proven to happen in other companies in the past on stock forums. I'm not accusing anyone of doing that or being like that. But it makes my mind wonder, perhaps that the case, are they trying to scare off investors maybe to get cheap shares? Again, I don't want to insinuate that's the case. But that could be a hypothetical. So are any of those names there, because I'm here to talk to you. D Trader, Stock With Me, Nomad, Cousin V, Crypto Caper, Murray Diapers or Joey and there's a few others. Anyone raising their hand? Maybe clap to see if you're any of those people. Okay, so from what I'm seeing, those people who are most concerns on the chat, who absolutely stir up other shareholders, and get them going, which I think is fair, because they see all this negativity and they're wondering what's going on with the company. And then I get calls. And I always take every call that anyone organizes, Maggie can tell you that. But they'll say I'm calling you because of what I'm reading online. Doesn't it make you think that, if they're not here to talk to us now at a live Q&A, for someone who's invested literally years of their lives, hundreds of thousands of comments, hundreds, or thousands of comments over three to four years now, and they're not here to talk to us to Q&A, do we really think that they're really like invested and want the good for this company? Like, doesn't it make your minds wonder? Because I don't want other great shareholders, who are always have accessibility to any single one of us on management, start to let them influence their minds when we're here to tell you everything that's going on. And yes, there's some wins. Yes, there's some losses. Yes, there's some failures. And we want to fail forward. Obviously, like I said, growing a company, the best in our interest, and especially me. I think is the largest shareholder in this company to increase shareholder value. It's our blood, sweat and tears in this. So, I'd like to get on - and sorry, if I'm sounding a little bit passionate here. But don't you think that if those people who are so honest every day, and they're not here, that they're not real people? Does anyone want to comment on that, Maggie, maybe just, open it up to the next hand raise?
Unidentified Analyst: I mean, I can comment real quick. If you had told me what you just said, you know, a year ago, I would have said, without knowing you, this is a conspiracy, not blame your own failure on Reddit. But from what I've seen the past six months, and things I've kind of been involved in a lot, there are a number of even like competitor CEOs and stuff on those forums that like to leak stuff and bash other companies. And I want to go into specifics. And honestly, it's nothing about Red Light Holland, or I would have pinged you on the side. But it does happen. It's not all nut talk?
Todd Shapiro: I like to think of Red Light Holland in the psychedelics sector, and we have a lot to go, we have a long way to go. And clearly, we are increasing revenues, but we still have a burn. And but I'd like to think if we look at our company versus probably 70% of the companies, and I'm not going to list them, but the ones that have market caps less than $1 million, the ones that have already gone out of business that raised $200 million. The ones that are don't have a path to profitability, at least their runway is literally, you know, a few quarters away, they're already raising money at much lower deals. I mean, I'd like to think and again, this is do your due diligence always, speak to a financial advisor. I'm not I'm not saying anybody that this makes us superior. But what I'm saying is, in terms of the path we're on, we're proud as a company. And I sometimes, my suspicious mind after doing this for four years, starts to think, why are people hammering us? Are they jealous? Are they envious? Are they scared of our success? I don't know. All I know is those names I listed to you. Why aren't they on this Q&A? Like, it just doesn't make sense to me. And I never want to bring this stuff up, because sometimes I think it's a little bit juvenile. But to see that, that lowbrow approach affect other investors, who call me in a panic, I'm looking out for those loyal investors. And that's why I'm trying to call out the hypocrisy on these, few gentlemen, or ladies or whoever they are. And I'd like to think that's a slanderous nature. If you're invested in a company, I'd like to think that transparency in these Q&A's are the most important things these chat forums I'd like to think aren't. And unfortunately, it's to use an old school word for my grandfather, it's Tom Foolery. Maggie, let's move on. I'm rambling too much everything the lawyers tell me not to do.
Unidentified Company Representative: Okay, we have seven people in line here. So I think Joseph, you're.
Unidentified Analyst: Hi, everyone. Yes, Todd, I totally agree with you. For clarity's sake. I'm Arcade [ph] knows best. I'm also the guy who wrote the jingle. I love Red Light Holland. And I talk about Murray Diapers, like once a week to my fiancé he's in my nightmares. I can still guy so?
Todd Shapiro: You're not alone. But yes, so I just got off the clock before this call. So I didn't get the chance to dig through the SEDAR. So if what I'm asking, there's my answers are in there, then I apologize. You can just tell me, but I think everyone on this call is anxiously awaiting some more updates on the farm, which is super exciting. And I know it's been a huge, major labor of love from everyone there. And thanks so much for everything you're doing. It's awesome. I love where the company's going. I think I just want to take some time, because I think it's one of the biggest milestones we have coming up thus far. And I just wanted to talk about all the accomplishments and like recap for everyone what we've done thus far. Talk about any upcoming potential positive milestones you see in the next six to 12 months with Peterborough and also any potential headwinds that you see and just kind of how we're going to plan that out. And just - what your, what your plan is for the next year there. It's very exciting. That's it?
Todd Shapiro: Well, Joseph, thanks for your transparency and sharing your handoff. My whole life has been lived in public. So, I've always been upset by people who hide by handles and never have to say who they are which is probably why the emotions coming out in me today. But yes, it's very good question. So, Peterborough is interesting, right? Because when we file our SEDAR reports and we have to update the management discussion analysis. We absolutely have to be super clear, and very accurate with everything going on. But sometimes it can't describe the entire picture. And I think a very important way to describe this farm build. And one that hopefully isn't misleading, but we feel is still putting us on those very same timelines we've always thought of is. There's a couple of things working in our favor right now. So, one of them being is the sort of nature of the economy is helping us. I'll tell you why. There is a lot of developers. There is a lot of builders. There is a lot of, companies in agriculture and farming in general that aren't building as much right now. So why does that benefit Red Light Holland? It means that trades are easily at our disposal. It means that their competitive rates will be much better right now. It means that, at the snap of a finger, if we need roadwork, if we need foundation, like these trades are there ready to go. And the other thing, is a lot of this farm, gets built overseas. So think of it as like a car. The engine actually gets built overseas. So does the frame. Actually, the frame gets built overseas. So just because, people and I laugh, because I went on the forums, because all these people were telling me, to go read what people are saying. We're literally trying to take Google images of that farm land, not being touched yet. It does not implicate what we think the future timeline of the farm being built, because so much of it is done, in another place. And the orders are going in very soon. But the negotiating is, what we're doing right now, because the leverage is with us, because now trades, companies, steel factories, equipment companies, they're not getting as much business as they were. So, we can leverage prices. So just, because I haven't done that purchase order, for a ton of air handler units yet, is because we're going back and forth, to save the company money in this build. We have talked about, how the increase of price will happen. With that being said, we're seeing a little bit of, maneuvering here that we hopefully can save Red Light Holland and its shareholders money, to get these orders done. And then those orders get done and they take months and months and months, to build over there before we get shipped here. So just to get some stuff down over here, doesn't make sense, because we don't have the engine to put into the car. So why have that car ready at this point? So it's all within a certain strategic area. And trust me, we're working with farmers who don't. This isn't their first farm they're building. I mean, this is collectively, they're six or seven, to one of the guys. And I won't say where, but he's building a $66 million farm right now and we're following his lead. So, we absolutely are confident in this farm path. And just because some aren't seeing the actual progress on the land, doesn't mean that behind the scenes we're not making that progress. And listen, if things are pushed back, we'll let you know as quickly as we can. But we're still confident and we're getting we're moving along. So that is a big catalyst for us, without a doubt. We have given some forward information on the types of revenue that we can bring in. We've talked about that 80,000 per week, and up to around, I think it was $16 million to $17 million in revenue, maybe even a little higher. And there will be ramp up stages within that as well. And part of that increased build price is, because we've now outfitted it for extra bays to sell extra mushrooms down the road. So instead of, renovating, past this time, let's get it all done in one shot. So, we're very excited about this farm, and the strategy, is there absolutely to use it, as our number one catalyst, to get massively increased revenues, is the goal. That's the focus compared to where we're at. So, again, financial advice, read through all the disclaimers, and everything, but we absolutely are on that path, and we have great partners in doing so. In terms of, I think, other catalysts, Joseph, I mean, the emerging markets of psychedelics are key for us, as Shashkes has talked about earlier. But again, it's slow. So we are just following everything that is happening. And is there opportunities eventually? We hope so. And we think we've achieved a lot on the psychedelic side. We've just applied and now received our fifth psilocybin import permit through via CCrest Laboratories, working with PharmAla, who again has proven to get their MDMA into Australia. So they understand the regulatory and compliance to potentially get psilocybin into Australia. The pieces of the puzzles are all coming together, as we say, but it is slow, man. I can't just jump and say, hi, this government is legalizing psilocybin tomorrow, like we saw on the cannabis days. So, we're taking our time as a company to focus on revenue growth, to focus on strategic growth, and to be more efficient in the way, we use our money and our capital, to wait out what is hopefully coming down the road.
Unidentified Analyst: Awesome. Thanks so much, Todd. I really appreciate all. I know you're working 12 hour days and people are, busting your ass saying you're down in the Caribbean and I know it's not true. So I just want to let you know, there's people that support you. Also, I live in Chester County, PA. So if you ever want me to do any mushroom digging, I'm happy to help out. Thanks guys.
Todd Shapiro: Thank you, Joseph.
Unidentified Company Representative: Okay. I'm going to go ahead and unmute Will. Go ahead and ask your question.
Todd Shapiro: Hi, Will. Is Will still on mute?
Unidentified Company Representative: Yes, it looks like it. So I'll go to the next person on line, Ragu.
Unidentified Analyst: Hello, sir. Good evening. My name is Ragu. Like, this Q&A session has been informative, and I'm glad that I got an opportunity to speak to you. Just wanted to let you know that I'm not on any of those forums. I'm just an honest shareholder. I've been with this. I mean, I've been a shareholder of this company almost for the last four years. I've been trusting this company no matter what. So this information about the like growth, and the prospectus, it's quite informative, and I have complete faith on this company that it will do wonders. So just have curiosity like about one aspect, which I read on one of these business articles on one of the business apps that, there's going to be a potential buyback this year about the shares. So if there is anything you could throw some light on that, because I'm an honest shareholder, I cannot speak, or I cannot hear anything negative about this company, because that would be like shooting myself in the leg. So I just trust this company. So I just want the stock and this company to do well no matter what, because I've been invested a lot on this. So any information on buyback, and the share dipping and the negative comments, you can say anything in regards to that. Thank you.
Todd Shapiro: Well, thank you, Ragu. And I can sense your authenticity, and genuine nature, through just your voice. So, we do value that and a lot. And thank you for entrusting in our team. In terms of the buyback, this normal course issuer bid, we have bought back approximately 1.5 million shares. And it is sort of this internal debate at times, when we feel like there's a right time to use it. By the way, you can never use it to manipulate a stock. Like there's crazy regulations in securities law around that. So there's certain times when you can't buy, by the way, before market, there's certain times just before, I mean, just when market open or just before market close. And you have to use it within a strategy. And part of that strategy is, do you burn through cash, to obviously decrease the float, or do you best use your capital to grow the company? And one of the things David and I always go back and forth on is, you don't want to, it's not like you want to sit here and catch a falling knife with this stuff, but you want to do it in terms of a budgetary line. So you look at this quarter's budget and go, okay, and then we'll dedicate this amount to a buyback this quarter. And maybe if we have a better quarter next quarter, then we'll issue a little bit more potentially to a buyback that quarter, as hopefully revenues go up. So it's about a long-term strategy there. And hopefully that satisfies your answer or your question.
Unidentified Analyst: Right. So that answers it actually. I mean, it's good to know that, it's strategic and as you gain profits every quarter and God willing, you make more profits in the coming quarters and you invest more on shares, like you buyback potentially, based on your strategy. It's wonderful to know that. Just I hope that the share back comes back up someday, because it's dipping and it's creating tensions amongst people. So that's the only thing I'm concerned about.
Todd Shapiro: And you should be, and no one's more upset by it than me. It's funny, Kobe Bryant was asked once about, there's two types of players, like those who only want to win and those who hate to lose. And his answer was somewhere in the middle ground, which is if you only focus on winning and only focus on losing, then you get too emotional. You can't live in the moment for the middle ground, and doing what you can best. He was ferried to himself, to improve on his game and always live in the moment to be good on that night's moment. So while we'd like to think that's a stock price, hopefully one day we'll go again, and be higher, because, everyone obviously wants to have that value there. We just try to keep ourselves in this middle ground, to grow a business, live in the moment. And if we have to pivot, if we have to tweak, we will do that. If we see a new trend, we'll jump in there. It's always evolving. Think of a business like a relationship. And I think anyone can relate to this, whether you're married, or whoever you're dating, or whoever your partner is, you have to continually work on that relationship, to make sure it's a success. And we always continually work on our business to do our best to make sure it's successful. And hopefully, as Bruce Linton used to always tell me, the share price will follow if you do a good job running the business.
Unidentified Company Representative: Okay. I'm going to go ahead and unmute Jason.
Todd Shapiro: Hi, Jason.
Unidentified Analyst: Hi, Todd. How are you?
Todd Shapiro: Good.
Unidentified Analyst: Good. Basically, I'm somebody that suffered from PTSD from a car accident. I actually recovered by micro-dosing and macro dose. And I was wondering, if there's anything that I could do to help for the cause. I have doctors that could vouch for me. I have psychologists that could vouch for me. I'm heavily invested. My panhandle is John, which is Dirty Diapers' arch nemesis [ph]?
Todd Shapiro: Looks like the broke bum didn't show up today. Yes. Well, thank you for your support. Sorry to hear what you've gone through. And I think Shashkes will tell you, we hear so many of these stories of anecdotal stories, of success for micro-dosing. And it's tough as a company that can't make medical claims. But clearly, like when we originally went into this business, it's because of all these anecdotal stories and how, in terms of our heads, how frustrating it is that regulators don't listen to people. And I'm going to throw it to Shashkes in a moment to talk about what we're doing with our data collection and our app over in the Netherlands, which is vital. But I'm going to cite two stories right here at the North American Mushroom Conference. So this is a mushroom conference for whites and browns and shiitake and oyster and lion's mane and you name it. And nowhere has this conference ever talked about psilocybin. These aren't like those psychedelic conferences where everybody's just blowing smoke up each other's asses and talking about the regulatory path. And it may be only being the synthesized version, when they're all going out to parties, and probably blowing through money and doing magic mushrooms, because I've seen them do that. So they're using the naturally occurring stuff. We're always got mad about being an elitist way, of looking at it where you could have access, but regular people such as yourself who have experienced great success in it can't do it unless you're doing it illegally right now. So this is a big advocacy part for our company, and we're putting ourselves out there. And that's why we're polarizing. And that's why some people like to crap on us. But this conference and getting back to what I was saying, it was really interesting. They had Dr. Professor David Nutt. And David Nutt works with a bunch of different companies and writes a bunch of different papers that, are published around MDMA, around psilocybin. And he said something absolutely, so important yesterday, which I thought he said of all the companies looking to get to Phase 3s and doing the synthesized tweaked model. He goes, the access to capital so limited for big pharma that he didn't think even a compass pathways, could maybe get to the point where a synthesized version of a psychedelic could be, one day, hopefully on the market, I say, hopefully, because I think the big pharma model works, too. But he didn't even know if they could get there, to then try to help people with you, through a prescribed model. And then he actually started about the naturally occurring model. And he said, there are this is an easier path to get to people. And - this was a quote from him. And I recorded it in case anybody doesn't believe me. And I don't I'm not going to post it, but I'm speaking very accurately on his behalf. And he also talked about third world countries, which is something, I said four years ago in an interview. Where, most people don't even have access to prescribed medicines. Most people don't even get that opportunity, to help themselves. Think about all the wars going on in the world right now. Think about all the trauma that's, coming from people. And we're seeing it. Ukraine is actually talking about opening up cannabis. Maybe they'll open up psilocybin one day. Think of third world, real third world countries, stuff going on in the Congo, like terrible, terrible stuff across this world. And for us, if you think what it takes for us to produce a block of psilocybin, a magic truffles and how we feel, we could get it into anybody's hands if they ever allowed us through regulations. That is a path that can help people. So, the other thing they talked about at this conference, which was really interesting, was this, and a lady went up there and presented. She spelt it farm, P-H-A-R-M. And then she took the P-H out and just put farm. And she said it is so important for doctors, to think about prescribing products that we grow and not just mushrooms, but whether it's more oranges, more bananas for potassium, more carrots for vitamin D, and the idea that humans have gone away from taking care of their bodies through agriculture. And we're an agricultural company and psychedelics and what we do, and what we grow is agriculture. And it's just mind health. So, we're going to be down this path, Jason, to continue to try to help people, like you legally. So you don't have to feel nervous when you're getting it, because you're anecdotally proving that it works for you. And a lot of that is takes time, though. But knowing that we have guys like David Nutt thinking this way, who speaks to, government regulatories and he already had a great conversation with Shashkes, after I introduced them. And this is where I could lead into the to the data that we're discovering through our app, which we think is very significant that no other company has done, in terms of showing how naturally occurring products are working to help people like you. Not just anecdotal stuff, because the intellectual arrogance of a lot of these scientists and doctors and things don't want to just hear people. They need it to be backed. And Sarah's grabbing some data from that.
Sarah Hashkes: Yes. So first of all, thanks, Jason, for being open about your mental health. And when you ask, what can you do? I think that's the first and most important point, is to try to be open and combat these stigmas, where people don't feel comfortable talking about their mental health, to begin with. And then they don't feel comfortable talking about, what helped them if it was, psychedelics, because of some negative biases and legal issues. So generally, I always encourage people to think outside of the bubble. Like, personally, I feel a lot of times I'm in this everybody's psychedelic positive in my friends group. But then I go back home, I talk to my aunt, and I get this like pushback of, oh, wow, psychedelics, they're so dangerous. And only when I start talking to her, about how they also help me and my mental health, and the science behind it. So, I encourage everybody, we have a lot of information that I put out there on the science and lectures. Once you understand the neuro-scientific mechanism of, how psychedelics increase plasticity, and understand the importance of the support structures around it, I think that really helps people understand how it could be beneficial for themselves, for their family, for a lot of these issues that we're seeing in the world. So that's just, on a personal note of how you could help. And as for the data, so we have an app, we're very lucky to be operating in the Netherlands where this is legal. And we have a privacy-first app, which I'm very proud of this company taking the stance. And you'll see there's a lot of pushback, for instance, in Oregon, they're not being privacy-first. That's one of the issues we have with the regulations here, is sort of forcing people to give information that maybe they don't want to. So our app is privacy-first, people opt in to share their data. And we have now more than 900 registered users that, have agreed to share their data with us for scientific research. And that's something that early on, we did some research on, and it was very beneficial to show to the Oregon regulators what microdosing is, who is using microdosing for what, because in a lot of these regulations, microdosing really isn't addressed. People are just looking at the large doses, and we see that also in the academic and scientific research. While there is a growing body of anecdotal research, also neuroscience research is growing in the direction of looking at microdosing, but it's still a lot less. So I think that's where the benefit of our data could really be, in helping more regulators understand, especially around microdosing, what are the doses for what could it potentially be to help people. And that's why we've been focused on our R&D development, currently creating these capsules that are homogenized, accurately dosed, with the shelf life, all these things that we really, really are doing everything that we can to actually get them into legal markets where they can help people. Yes, Todd, anything else?
Todd Shapiro: I just think it's great to demonstrate the data. Maybe just for context, Sarah, you can explain how clinicals work in terms of Phase 1, Phase 2, just the amount of people. People would be surprised that sometimes these things are under 20 people?
Sarah Hashkes: Yes, phase one can be something like 15, 20, 30 people, very, very small amounts. So when we say we have 900 people, that's between Phase 2 to Phase 3 of some trials. So that's definitely starting to be a significant amount of data. And we're really hoping to find someone to collaborate with, on analyzing and putting more of what we're learning out there. So yes, and Todd mentioned before, we really had this discussion of like, wait, all these clinical trials, we've sold a lot more psilocybin than they have. With this responsible use policy, that we have a therapist in the Netherlands, something that no other company is doing, giving free access, to people to get basic consultations on how to use these substances safely, which I really hope more companies pick up on, because yes, we're here to give value to shareholders, but we're also here to give value to the world. And to use these substances that, are very powerful responsibly with knowledge, with support structures, with communities. And I think this is part of really the great opportunity that we're having this discussion. where people can also share some of their experiences.
Todd Shapiro: And just to add to that a little bit, having an advisor now, Dr. Taras Nahirny, who's a medical doctor as well, come on board and put himself out there too, really, he understands what he believes are the benefits of specifically psilocybin, and whether it's magic truffles or magic mushrooms. So you're starting to see a crossover of some medical professionals, and that's obviously what we're hoping to learn more about in Australia. If there are medical doctors, who will prescribe this to a sort of a named patient model, and then hopefully one day being able to get product to them. And Jason, all we can do is keep advocating. I was in Ottawa just a few weeks ago, and I did get to speak to a bunch of conservative MPs, because specifically you mentioned post-traumatic stress disorder. We as a company feel like it's got to start with our veterans and our first emergency responders for doing things that many of us are never brave enough to do. And allowing us to have the freedoms that we have. And terribly with all the war going on in this world, thinking how we need to help people. And we have very detailed reports, of support now from a lot of, to be honest, a lot of conservative leaning politicians in the United States, and some now in Canada that are talking about this approach to needing to help now as opposed to waiting for this big pharma, which takes time. It doesn't take me a lot of time, to grow magic truffles and ship it here if I'm allowed to. So this is the goal that we continue to advocate, the best we can. We continue to put out data, research papers, protocols. There's a lot that this company is doing. And maybe we have a stigma in itself, with some of the chat forums that unfortunately people, we talked about earlier, get all sort of in this, like they don't think we're legitimate. But we have done some very legitimate reporting, and we're proud of that as a company. And we feel that at some point it will continue to make a difference. And it did in Oregon. We were a small piece of them learning as to writing those regulations. And I want to say one last thing. We can't encourage anyone ever to do this stuff illegally, right. So, if you're doing it, we've seen it like it's still illegal in 99% of the world. So please be cautious. I don't want to think we're, just if you go to the Netherlands, you can get it there.
Unidentified Company Representative: Yes, I'm going to go ahead and unmute Sam. And yes, we still have four people in line afterwards. Thanks for all your questions.
Todd Shapiro: Hi, Sam.
Unidentified Analyst: I did this after Super funny.
Todd Shapiro: Sam, are you, do you want to jump in here?
Unidentified Analyst: Can you hear me okay?
Todd Shapiro: Yes, we got you, Sam.
Unidentified Analyst: Sorry about that. Good afternoon. Thank you for hosting today's Q&A. I've been a loyal investor since 2020. I - have asked questions to you, Todd, in the past on investor calls, including over the phone. And I appreciate the time you've given to share the direction that Red Light Holland is taking during those touch-points and today. I do have some questions, but mindful that there are other people that had their hand raised. So I'll ask two in particular that are more pressing for me. One being the recent news with PharmAla Holdings, that partnership. And I just wanted to get clarity on what that means with the relationship with NUBU and whether, or not there is any impact there. And specifically, the reason why I bring that up is, because of the language around them potentially being an exclusive sales agent. So I'm just unsure what that implication means with NUBU and hoping you could shed more clarity on what that means. That's my first question. I'll jump to the second question after?
Todd Shapiro: Yes, let's address this one. Thank you. And then we'll get to your next one. And again, thank you for your support as well and your candidness. So yes, it is interesting, right? When we signed on with NUBU, they got an exclusive to New Zealand and Australia. And then we got to work with PharmAla and I'm very excited to work with Nick Kadysh and his team. Nick is a compliance whiz, and he's like, he's right here what we need. Like, he's got his conversations going with governments in Canada, obviously proving out the MDMA cell over to Australia. So then he's got his connections to Australia. So yes, it is purposely left carefully open, because we are in discussions with NUBU, to see is there an arrangement that if Nick and his team at PharmAla would ever get our product to Australia, we would never want that being disrupted, by the exclusivity with NUBU. So, we're all aware of this. We're all communicating. Put it this way, and I can say this because right now, and it's nothing material, but it is in conversations to see how we deal with that legally. And that's why, you saw the way the wording was released the way it was. And I think what we're optimistic in is every company obviously needs to focus on bottom line, getting to the black, making money, increasing shareholder value. But when you're in this sector, you're dealing with a lot of passionate people and I'm clearly not one of them, but no, me being probably the most passionate about wanting to help people. And I think we don't want to step on each other's toes, if it meant our ultimate access to helping people. So I'd like to think, we'll probably end up in a good situation if we ever have an opportunity, to get to those countries and regions.
Unidentified Analyst: Thanks for that clarity there. And then my second question, and you mentioned the passion that you have, and I want to bounce off that because I, like you, I am quite frustrated with the forums, to be honest with you. I think there's a lot of bashers out there, and a lot of people that are just brigading, to ensure that people like that are novice investors sell at this point. That should be told. That's how I feel about it. But to take their perspective, I understand some of the frustrations, because there are timelines that have been missed. And this leads to that question around Mistercap, because last fall, there was a lot about a marketing blitz that was going to happen. I don't know if we saw that blitz or not. And I understand that, you're taking things very slow and steady. And I think that's a great approach, given the current climate that we're in, and what we were seeing during the pandemic. However, from that perspective, it looks like Wiz is not fully invested. So maybe you could speak to where Mistercap is, at and what the game plan is. I did read up a bit on the European retail strategy that's going to be happening fairly soon, as well as talks with a North American retail distribution company, or retail company. Sorry, I don't know the exact technology there, but what I mean, through your reports. I'm just wondering, one, is Wiz still like involved there? And is he still motivated? And when is this marketing blitz, has it happened? And is it going to happen?
Todd Shapiro: I'm very happy you brought that up. And I will speak to this as carefully as I can. Back to the direct-to-consumer strategy. Two things, okay. I got wrong the celebrity angle for instant hype, and product growth, okay. That's on me. I love to purchase products that celebrities endorse. I've joked about it before, whether it's buying Prime, because Logan Paul is selling it, or even trying Celsius, because Jake Paul is selling it. I even have like my kid's friend say, you got to buy this, because they're buying it. Or buying a Nike product. I've always loved their Jordan's, because it was Michael Jordan. And I really believed with Wiz in particular that, his openness about using magic mushrooms would instantly help us sell mushrooms. And they're a great team over there. They're an incredible team. But we all talked about, dialing back the online strategy, which we press released today, because committing ex amount, I've said this on the last call a year ago, and we're really seeing it in today's consumer spending, in today's consumer market. That the old model of advertising, advertising, advertising, flipping through Instagram, you can't see enough mushroom products. Next thing there's another mushroom product. Now the algorithm's got you. Then you buy it. Then you subscribe. Next thing you're a lifetime value customer. And you can make up what they call the cost per acquisition of each customer, because you're buying more than it costs to acquire you. And that model for not just our company, but literally thousands of companies in the consumer package, good business, has absolutely failed many people. And like, I don't know about all of you, but I'd actually put it out to all of you that, you probably remember a time, because you invested in us, and if you were scrolling through Instagram or Facebook, I bet you got literally 15 to 20 different mushroom brands popping up as you're scrolling down. Think about what you're seeing today. Maybe Mudwater, maybe four sigmatic [ph], like there might be a couple of mushroom brands, because people just ran out of money doing that. And I did not want to run out of money doing that. So, we dialed back the direct consumer, big marketing blitz. And at that point, we carefully were talking about more of a retail strategy for Mistercap. But the other part is Happy Caps, started to get a lot of great organic brand recognition. So, now we have a decision as a company, where we did think this big celebrity would help focus on this mushroom growth. But Happy Cap was taken off on Amazon more. Happy Caps, was getting noticed. And so, we wanted to invest again, it's all about that budgetary items. Like we don't just want to throw money, throw money, throw money, and then think it's going to work for us. We're super careful. And David's on me more than anybody with the money. He's an incredible CFO. And so back to Mistercap, it's back to a bit of a slower strategy and more business-to-business. And because of that, these big marketing blizzards haven't coming in. We believe, we have a purchase order, from an interesting retailer coming up. Nothing's material. So please wait till it's actually announced. But the conversations are, to be honest, are very close to being signed. And it is a bit slower with Mistercap, and it's a bit of a slower approach now. Again, it's also a seasonality thing. You don't want to spend a huge amount of time in the middle of a big marketing and blitz, when things aren't just going to sell this time a year. Spring is typically better for mushroom home grow kits. And then the fall Christmas season is great. So hopefully that answers your question about strategy. And we have dialed it back a little bit, though.
Unidentified Analyst: Thank you. You did answer all my questions. I appreciate it.
Todd Shapiro: Did you have another one, Sam? Sorry, I think you did. Yes, did you have a second.
Unidentified Analyst: Well, it was two questions. But if you're giving me the floor to ask one more, I'm more than happy to. Is that okay?
Todd Shapiro: Just remind me, sorry?
Unidentified Analyst: So I had, I already asked my two questions, but I'm mindful that there's other people that have their hands raised. So I'll stop right there. Thank you for answering my questions. I appreciate it.
Todd Shapiro: Okay. Of course, man. Thanks. Okay. How many people are on this call? We have 80 right now, and we have 3 people with their hands still raised. I mean, an hour and 20 minutes, 80 people like we're grateful. Thank you for sticking around this long and being so curious and giving us an opportunity to talk.
Unidentified Company Representative: Okay. I'm going to try to unmute Will. Oh, sorry. I think he was unmuted from the last time. I just need you to unmute yourself again there, Will. Sorry about that.
Unidentified Analyst: Hi, Todd, how are you guys doing today?
Todd Shapiro: Well, Will, thanks for dialing in here.
Unidentified Analyst: Yes. So briefly, I got into psilocybin mushrooms, because they had a huge impact on my life. I am 62 years old and actually never completed a book cover-to-cover other than, you know, I love reading magazines and short stories and whatnot, but never really completed anything until two years ago. And I started microdosing and I sat down one day and read 50 pages without having to reread one page. And from then on, it's had a big impact on me. I think, I definitely have had ADHD and I consider myself pretty much cured from that. I certainly have a life that is completely different in terms of focus and accomplishments, which would have happened earlier. So I congratulate you on being in that segment of our society that seems to be something that probably should have never been illegal and possibly will have a dramatic impact, hopefully, on all of our futures. And again, I congratulate you on seeing that. I take it that I just assume that people there have had some similar impacts with psilocybin. And unfortunately, I know it's still illegal, so we can't raise our hands on that. But I think, the main focus for me in getting into your company as an investor was, I looked at an array of the companies that were out there and basically decided on five or six of them. And over time, I've lost quite a bit of money, but I also have always done well investing in things that I believe in and companies that I believe in. And so that's the origin of my investment. And I also am party to some of the investment forums where I see a lot of other people, who are enthusiastic about psilocybin and psilocybin companies. And I think those guys, there's a lot of people, a lot more people that are getting more and more invested in that area. And from a standpoint of where your company is going to be moving when it comes to the psilocybin, I see that you have the capsules that - you've been working on. Can you just give me a quick update on where they are? I know the shelf life has been verified and you've done some other tests and whatnot. Basically, if we legalize things in the States or anywhere else for that matter, are you able to sell those now?
Todd Shapiro: Well, first off, we always love to hear these success stories and thank you for being so transparent and sharing, as Shashkes said earlier, the more and more people that do that, the more it ends stigmas around this. And while we're pretty passionate bunch. And I think we have a good understanding of what's going on and there's still a great segment of the population that doesn't even recognize, they still think of magic mushrooms as something you'd take at a Grateful Dead concert back in the 60s. So thank you for that. In terms of the capsules, I'll just quickly talk and then I'll send it back over to Shashkes, but just getting a fifth psilocybin import license, by Health Canada, CCrest Laboratories and directly tied to our farm where it's being shipped from. We feel like significant Health Canada, they're careful. They don't want companies in the public sphere, especially just to like pump, because Health Canada is getting these next sort of little small steps of approval. And you have to be very careful. So Health Canada, doesn't want you exploiting this careful process, because trust me, there's a very careful process and rightfully so from Health Canada. We respect them for doing it that way. Would we like to kind of push and encourage, and share data and do more? Of course. But so just to get the product back to CCrest to be able to produce more, of these capsules that we're learning from. And then Shashkes is going to help and explain to you what we've done with the homogenized capsules, and how we hope to maybe take them a step further with extraction with PharmAla.
Sarah Hashkes: Yes. And maybe first, just I personally, I think I actually sent Todd that a few days ago. There's some research coming out around ADHD. We've seen this already two years ago, where we did the first analysis of our app that a lot of people are using iMicrodose for ADHD and not medical advice or anything, but the medication, especially that kids are getting for ADHD, that is dopaminergic. It's addictive. It reduces neuroplasticity. So I'm really, really hoping in the future, we can make a dent in that. It's not just a big need, but it's also like a really big alternative to what is out there right now that we're starting to get more and more data that it could be a lot more healthy, hopefully for people. And then on where we are at with the capsules. So, we completed the product specs for NUBU, right? They're trying to get an import license for our products, which means they've gone through all the rigorous testing of making sure they don't have any types of heavy metals or pesticides or biological impurities. We know their shelf life. We know how, sort of how the psilocybin, we need to be in order to get these types of more medical grade imports. We need to really be very, very accurate on the dosing. So, we know exactly the dose that they're at and how fast they degrade, which lets us create the shelf life. Will we be able to sell? It really depends on regulations, right? Like if I, on a personal note, I wish I could have access to this legally. And I think Todd and a lot of people that we're working with, we wish we could have access to ourselves legally. So it's a type of product that I personally trust a lot more. Of course, obviously working and seeing all the reports than anything that is accessible in the gray markets or there's some places that have been decriminalized in the world, especially in California and the United States. So you're sort of as a consumer, legally it's okay, but you have no actual clue what you're consuming. And with these products and with this product in fact we know exactly what's in them, how strong they are. So yes, my perspective is great product and let's push for regulations that, would allow us to sell them.
Todd Shapiro: Yes. And just to add to that, I mean, they're clearly in these Q&As, us as a company have to be very careful. There's a lot of forward-looking information. There's financial information that, we're in terms of, some guidance and stuff. And so all of what we're saying is really potentials and maybes, but we're doing everything we can to get there. So I caution any investor, there's still. This stuff, could take lots of time and could change overnight. We're not in Health Canada's, offices sitting and listening to their conversations behind the scenes. So, but we can do whatever we can in standardizing products, working with companies that have proven to get products across borders. We've done it now. PharmAla has done it, working with controlled drugs and substances dealers licenses. I think I said that wrong. But like we're doing everything we can with total compliance, and regulatory standards, practicing great corporate governance. But again, the way at a press release, we would have to put at the bottom, all the forward-looking information, I want everyone to think about this conversation, the exact same way. With that being said, we're transparent. We'll tell you every single thing that we like to have happen, and everything we're working towards. And then on the financial reporting, of course, you know, that's concrete stuff that we can talk about. And we love hearing these stories of people just wanting to help others and anecdotal stories of those that have been helped. And it goes back, I'm going to say it one last time, because, we only have a few more questions here, but we still have like that 80 or so people, maybe some are starting to tune out now. But with those chat forums, because it's coming up one every sort of three Q&A's here, whether you're D Trader19, Stock With Me, Nomad, CousinV, Crypto Caper, Murray Diapers, Joey, a few others. I mean, here's your time to talk because you're hearing that there are really great shareholders in this company. Of course, they have concerns. Of course, the stock price has dipped. Yes, we've increased revenues and we've shown you that stuff and - decreased burns in quarters and doing everything we can for advocacy, and getting products out there. But I want, to most importantly, I can't ever tell anyone to buy stock. I have to tell everyone, of course, to do your due diligence speak to financial advisors. But what I would like to say is, I hope we're disproving that these certain types of people, who are smearing you as a shareholder, really. Because if they're smearing me and smearing the company, but they're not here to talk and ask us questions, then I hope they won't fear you into that. And again, I'm not telling you to hold stock, buy stock, sell stock. What I'm trying to tell you is just let's share these positive stories, because then ultimately someone might want to go like the way they invested in Tesla, or the way they invested in AI, because they believe in that. Like people have passion stories and want to give back and help. And those are ultimately the best long-term investors. And by the way, I was reading today that Apple, invested like I think, hundreds of millions of dollars, if not more into this electric vehicle approach. And they failed at that. So even Apple's failures, they did the Newton one day, they failed at that. They had a, couple of the original Macintosh computers that didn't work. So, there are failures within companies, we'd like to think that we're always tweaking, pivoting, and focusing on the best growth possible from our learnings and also from our big wins. And we've had some great wins this quarter and this year as well.
Unidentified Analyst: You're [ph] one of the best revenue drivers, in your opinion right now and the best potential for the future?
Todd Shapiro: Listen we, as David said earlier, we haven't necessarily segmented it off as specifically. But we're very pleased with the growth over at SR Wholesale. We have a great operational farm at AEM New Brunswick. We're very pleased with the store in Utrecht. We got a bit of work to do in the O-Store, quite frankly. It's just a bit of different market than the Utrecht market. And we're learning about that. We're excited for what we've talked about for the farm build. And Happy Caps, while having some growth, has had a few setbacks as you scale up. We've talked about the 3PL issues, the shipment issues, the Amazon margins, are like next to nothing for us. So but we're always thinking of, we're clearly always thinking of margins, thinking of COGS, thinking of the best product available to the end consumer, and the consumer experience. So, we're looking to make sure that every companies, of the portfolio companies is doing well.
Unidentified Analyst: Okay. So I am an investor, obviously. And I - for my portfolio, I have a fair amount in there. And it is down at the bottom of where it's been for a long time, and it continues to go south. There's several ways to stop that from happening. One is, look at the company and decide where your weaknesses are and make changes. Todd, I'll tell you, you got people on this website here that have an opportunity to talk to you. And to hear people talk frankly about some negative things, and for you to discourage them by telling them they're bashing you is, this isn't, we're not on TV, we're not advertising to the public, we're advertising to people who are concerned about this company. Everybody has the same concerns. And it's financial, it has nothing to do with anything else other than financial. And the fact of the matter is, whatever your products are, they need to be, if they're as good as they are, which I believe they are, I think you guys are doing a lot right. We need to look at what it is that that's not being done right. And when you hear these guys talk about whatever they they're talking about, whether it be Amazon, and rating a 25, 25% being ones, that's a big deal. I mean, that's basically the public telling you, this is a problem. And then you analyze it as a good CEO, and you say, how can we fix this? And you're probably doing that.
Todd Shapiro: But I'll interrupt, we absolutely are doing that.
Unidentified Analyst: So, it is important, to me, if I was a CEO, I would want to hear more negative than positive. And eventually the negative...
Todd Shapiro: The context with the one individual was someone who has come at me and called me and emailed me. And we've had these conversations, before I've given him most of those answers. And the other one was directed to, which seems to be like pure bashers on a chat forum. These types of conversations, professional, candid with an ethical approach in terms of treating each other like human beings is fantastic. Will, I'm here all day long for individuals like yourself, but not ones who just want to create fear. By not being here, you can tell they're just trying to create fear in others. We talked about Amazon earlier. Were you on the call for that?
Unidentified Analyst: Yes.
Todd Shapiro: Okay. So I think we answered your Amazon question and how we're revisiting that strategy. We talked about the boxes being designed a certain way, but there's a barcode that many people, go and absolutely know how to grow mushroom home grow kits. They've had no difficulty. We've talked about it being a live produce, a live living culture that at sometimes pins early, doesn't grow late. So we give them a full refund, not a refund. We do full replacement value of that kit. I had raspberries I've got mold a day ago. And when I walked back into the grocery store, they didn't give me new raspberries. So we'd like to think that we're doing great things and listen, a lot of produce, companies work within small margins and products that go bad quick. So as we scale up, we're absolutely learning, how to do it better. And it's not been the easiest of processes. We were a tiny little farm with homemade blocks and those blocks then became mushrooms. And when you're doing a couple of hundred a week to start, that's an easier process, because you can give it tender love and care as you scale up, to mass produce to hopefully mass sell, to hopefully show revenues, everything that you're talking about wanting. There are learning curves. And yes, do we like negative views? Of course not. Do we want to rectify, fix and absolutely have a direct approach, to make sure that it's a better consumer experience for everybody for sure. And will we pivot if it isn't? We'll do that too. So, we are always learning on the go. Will and I absolutely value, what you say as a CEO, listening to negative, and then making sure that everyone is informed on how we're trying to rectify, maybe shut down, perhaps tweet. And I'd like to think that we've been super clear on doing that. There are a couple of personal ones here, man, because it's just, you say it's not TV, but when people are slandering a company and not coming on a Q&A, it's got to get you thinking, are they real people, or are they just sitting there bashing us just to scare people? And I've been trying to protect every shareholder, not only by growing a great business with an incredible management team. But also by protecting it, by being very transparent and I'll never not be this way. So I do appreciate you bringing up these points, and we're doing our very best to streamline every business and be more efficient. That is absolutely our focus with some fail forwards on the way. There have been some failures. We're not running away from them.
Unidentified Analyst: Well, I think you guys, like you said, man, you're in an area that has got to be extremely difficult. Not only you growing mushrooms and something that's alive that, you have to get to the market and do it in a way that, is going to satisfy everyone. So, it's a tall order to do what you're trying to do. The last thing that I want to talk about is, I do think that the public and how they look at a company and your reputation is critically important. And Todd, this isn't to hurt you at all personally, but I will tell you that there's two things that really bother me. One is the name of your company is named after an area in Holland, which is known for sex and drugs. And to be in the mushroom business and to have a name that, gives you that as its basis, that's if you don't know anything and you look it up, that's what you find. A lot of people know it just right off the top of your head. So, I think from a marketing standpoint, and you talk about share price and how is that correlated with the impression of a company? And then on top of that, I think honestly, you need to change your appearance and look like - a doctor. You're the CEO. I'm being frank. The stock price is at the bottom. We're sitting here wondering why and when it's going to stop. And if it's just going to go to zero, even though you're a profitable company and those are two things, it's appearance. I hate to say that, but appearances, appearances, appearance, people don't need to talk to anybody. They can look at one guy and say what, whether they think he's a Harvard graduate, or not by the way he looks and have the name Red Light Holland. It just seems like - you guys are working against yourself in a very simple area.
Todd Shapiro: Well, I appreciate your comments. How can you then explain when we first went public that we got to approximately a $270 million market cap. We were trading close to 40 million shares a day, and we were just a concept of selling magic truffles in the Netherlands. So how did our name hurt us get to that point?
Unidentified Analyst: Well, you look at marijuana companies, you look a lot at a lot of new hyped companies or areas, or companies that are, in a hot area like AI, all you going to do is put AI in your name.
Todd Shapiro: How did the name Field Trip work out for them? How did the name Mind Cure work out for them? I mean names, but how were those companies? They're dissolved. They're gone. 
Unidentified Analyst: Right.
Todd Shapiro: So I mean, this is, I appreciate you. I really do. But Red Light Holland is absolutely on the map. Is the share price depleted? Do we think it's under value for what we're doing? And by the way, cash and asset value, I think the market cap is undervalued based on what we have. We're proud of the name, where it comes from. We are all about ending stigmas. And you can say, yes, the seedy Red Light District. But that was purposely created for regulatory process for sex workers to give them means of protection, to make it legal, both for the end consumer for protection for them as well, by the way, because of heavy testing and all that kind of stuff. And it was about ending stigmas and regulating an industry that in many parts of the world are not regulated. There was a strategy there psychedelic regulated…
Unidentified Analyst: So you realize.
Todd Shapiro: Sorry?
Unidentified Analyst: Yes. So you realize though, this is a sound bite. This is a sound bite society. And when you mentioned Red Light, nobody goes in to understand the beauty of what you're talking about. That is very important. I really appreciate that.
Todd Shapiro: I think that that's fair. But I think you're also saying blanket statements like nobody. So let me finish, please. We've had wonderful. Can I talk now? We have last checked over 20,000 shareholders and the name comes up by a very few amount of them. By the way, we have had discussions and thinking about changing the name. The problem with that is the brand name is out there. I mean, we still have pretty decent volume as in liquidity for shareholders, considering what a lot of other psychedelic companies have, like literally zero shares traded market caps, less than $1 million. We have a lot of cash. And yes. Is there a time now? Is it at times for sure when I'm at the National Conference for Mushrooms here in Las Vegas with, $1 billion companies like Georgie or Greenwood or, like massive companies. And then we say, really, I get it. But one thing I can tell you about me is a 50-year old man. And I'm going to tell you this directly to your face. I don't know if you want to put on your camera. I will absolutely never compromise my look for anybody. I am so proud of who I am in my skin of, by the way, wearing a very nice shirt, might I add. And I wear very nice shoes. But if I want to wear a hat because it's a bit of my insecurity and that's me with my blankie, because it makes me feel good and confident, when I go to meetings. You don't rub shoulders with the people I rub shoulders with, because they're judging me for an appearance. You don't sit and have Bruce Linton on your advisory board, have Tony Clement bringing you to meet conservative MPs. I just had dinner with the President of Canopy Growth a couple of days ago. I could talk to you about who I know, but then it's going to sound like I'm bragging. One of my best friends being the CEO of one of the biggest companies that Canada has ever produced, who I learned from and as a mentor. Nobody ever judges people when you get to a point of understanding what's in their brain, what's understanding what's in their heart. And what's understanding and most importantly, their authenticity. So, Will, you can have that old school mentality. I will never compromise myself for anybody. And if you think that this impacts how people look at me as being a CEO, I can absolutely assure you it does not. And if those people are judging me for this, let them come have a conversation with me. I will wipe that away from them within five minutes of being in their presence.
Unidentified Analyst: Hi, I appreciate that. And I said upfront in the in the comment that, it's nothing meant personally. I understand, I'm the same way. And I would hope that a lot of us are the same way where we are who we are and it doesn't matter what we look like. But you are the CEO of a company that's named Red Light Holland.
Todd Shapiro: And we're a polarizing company out of the gate. We're a company that's going against the grain. And we have a lot of supporters that get that, because at the end of the day, if we're successful in this mission, we will be able to make the difference. I have an eight-year old boy. If one day and I don't know if this will happen, but if one day he can walk into a magic mushroom shop that, is legal, not like these illegal ones. And he can buy magic mushrooms with responsible use one day, or at least get it through a facilitator model at some point. And they were our standardized mushrooms. I don't know if they'll get there. But if he can do that, we're part of a legacy. That's what we're in this for. Yes, we're in this to increase shareholder value, make money and everything. If we do this right, and there's a long path to go again, financial due diligence, speak to a financial advisor. But if we do this right, Red Light Holland will be part of a legacy, we will be a legacy company that changed, that is aiming to change regulations across this planet and helping people. So we're proud. We're very proud Will. And I'm thankful for your comments. I am. And I'm not going to lie, there is considerations of talking about this name stuff, we'll figure that out. I mean, we do have AEM farms, the big farm in Peterborough isn't Red Light Holland, we have Mushroom & More retail shops. We do have - we're expanding the SR sales division in North America. So we do have other companies that sometimes people don't only associate us with the parent company as well.
Unidentified Analyst: Well, again, I think that you're, the comment was made, because I'm trying to make it. I'm trying to analyze understand, how stock price can turn around when the company is doing better-and-better. And you're actually one of the few mushroom based companies that's profitable. So from what I know.
Todd Shapiro: If I take off my hat and change the name, do you think the share price will go up? Is that what you're saying?
Unidentified Analyst: I just think there's an overall, you could look at a lot of things with the company and the name and - the CEO in terms of what he looks like. There's a lot of people who invest on based on that and share prices, are going to have impact are going to be impacted based on what people who invest in a company, how many people that you appeal to.
Todd Shapiro: Steve Jobs used to walk around and bare feet. Mark Zuckerberg wears a white T-shirt everywhere he goes.
Unidentified Analyst: Yes.
Todd Shapiro: Alex Karp from Palantir, you know, his hair would look like mine if I took off my hat, by the way, although mine's a little more, brown than his.
Unidentified Analyst: Well, it wasn't a psychedelic company called Red Light Holland. And I'll leave it at that. You guys just think about any things that, that we throw out there. And hopefully you make the right decisions, and we'll all be high fiving in Australia, or Canada or wherever it is that we connect on a company meeting one day.
Todd Shapiro: Awesome Will. Any suggestions? You sound like an awesome guy. Anytime you ever want to reach out and I can't discuss everything, but you can help suggest strategy or marketing concepts. You seem to know a lot about marketing. Feel free to share some ideas, man. We're open. We love it. Like, feel free todd@redlight.co. I'm not going away just when this Q&A ends. I'm here
Unidentified Analyst: Thank you, guys. Good luck as well.
Todd Shapiro: Okay. Man.
Unidentified Company Representative: Okay. I'm going to go and unmute Dave. Oh, go ahead.
Unidentified Analyst: Hi, guys. My name is Dave. Been a long time investor. Been for the ups and downs. Still of the vision. Still going to ride this out. My question kind of pertains to the farm in Peterborough. Maybe it's just me looking and reading into the chat too much, but just wondering if you could comment on the potential financing of the farm rather than paying for cash or raising capital?
Todd Shapiro: Yes, I believe we talked about it's a great question, David, and thank you. We talked about it at our AGSM a while ago, and I'll let David answer this. But I might I might add a few things after. But David, jump in, please.
David Ascott: Yes, no, and that's a fantastic question. I think any time you engage in planning around a large project, that's a large capital expenditure. You've got to look at all of your options. So and as a company, we have, and I'm not - we haven't landed on anything, but we have talked to traditional lenders about getting a possible construction loan that can turn into a mortgage. We've also talked internally about other - debt finding outside of financial institutions. But we also have to weigh, what would an equity raise look like? So essentially, we put a measuring stick to all of that. We look at all of the offers. And once we sort of have them on a plate, then, we can put forth a recommendation to our Board of Directors as to how we want to proceed. But so to answer your question, without landing on anything, debt financing is definitely one of the options that we are investigating at this point in time.
Todd Shapiro: We are - I'm remain very confident on the lending side. I mean, we also have a lot of cash to start funding the project. We also have partners, by the way. So, there is an opportunity that partners could provide cash to get this going as well. With that being said, there's timing in all this. I mentioned timing earlier about working with contractors, having leverage to try to negotiate if they're not busy now. There's timing on interest rates, too. You don't want to just go and get a mortgage today, if interest rates are going to drop. You won't do fixed. You do variable. So there's a lot, a lot of factors in the process of building this farm. You don't just jump in. But we remain confident the fact that - this farm is green lit and that we're excited for, giving you those farm updates as they come.
Unidentified Analyst: Awesome. Thank you.
Todd Shapiro: Thanks, Dave. Are we out of hand raises? We are. So you mean we don't have D Traders, Stock With Me? Nomad, Cousin V, Crypto Caper, Murray Diapers, and Joey here, who seem to have every single opinion on our company, which has come up that they are spooking other investors. I hope you guys and ladies and everybody, loyal supporters who we're so grateful for you giving us this almost two hours. It was the same as last time. So, you're in. I get it. And we do not take that for granted. What I think we should take for granted is some of these posters, because call us. We're here. If you have some fears, let's talk. You see the transparency of this company, and you see the longevity of this company now almost being four years traded. You see how cautious we are with our cash. We've talked about in the press release. Healthy balance sheets and looking at good operating businesses and understanding that there's been failures and learning quickly from those failures, tweaking, pivoting. We love your suggestions. We're here for you. And that's, I think, a great common theme. I mean, the rest is in the MD&A. We're there. And by the way, we have to be as perfect corporate governance as possible. We understand that our Board of Directors takes pride in that. We understand all the compliance and we absolutely respect the rules of being a publicly traded company. And we respect the support of our loyal shareholders who each own a piece of this. It's not just the management team. It's all of you. And thank you for expressing your excitement. Thank you for asking questions and thank you for expressing your concerns. And if there's any further of all of the above, we're here for you. And I think we have two last questions and then maybe we'll cut it out at that. I believe we have Salah and Claudio. Maybe let's get to Salah first. Maggie.
Unidentified Analyst: Good afternoon. Can you guys hear me?
Todd Shapiro: Yes. Hello.
Unidentified Analyst: Hi, Todd. How are you?
Todd Shapiro: I'm well, thank you. How are you?
Unidentified Analyst: I'm good. Pretty good. So I have a, first of all, thank you for holding up this Q&A every year. I it's very helpful for shareholders. We can express their thoughts and any concerns they have about the company. So that's very helpful and beneficial. Thank you for holding the Q&A. Second question. I would like to get more insight about Wiz Khalifa. I know this was a big milestone. I know in the previous Q&A, you've always said you were always waiting for this launching, which was to be, well, it was delayed until last summer. And I thought that this would take us, to a different level in terms of selling mushrooms because, or growing kits, because you were saying back in the days that we're taking all the lessons learned from Happy Caps and implementing them with this launching. And in my opinion, I was expecting this, to take us to a different level in terms of revenue. I don't want to say I'm expecting, I was expecting revenues to double, but I was expecting pretty decent increase in revenues. So the question I have is, how do you evaluate the launching of Wiz Khalifa? And what's your, like, I would like to get your insight. How do you see this? Is there any, what's, I haven't seen the - financials yet. So I wasn't sure if, what was the revenues out of this launching? And I know Wiz Khalifa has his own website and he's selling mushrooms there. What I find frustrating is the launching wasn't, didn't meet the, how do I say, the - I don't want to say didn't meet the expectation. But I was expecting more out of this launching, especially considering that when he launched his website, the growing kits were not ready to be sold. So he would go into the website, he would sell hats and that's it. Nothing about mushrooms. It took a while until the kits were available on his website. So that's it. Other than that, I really appreciate what you're doing. I'm a really fan of your thinking, thinking ahead of what you're doing to the company. I know those prices, maybe I think the share price will appreciate with time that there's no doubt about it, knowing you specifically and how you think and how you do things. So yes, nothing else on my end. It's more about, I was a bit, I expected more from Wiz, from the launching of Wiz Khalifa and that's what I would like to hear from you?
Todd Shapiro: Yes, Salah, and I do appreciate it. We sort of did touch on it a little bit before, perhaps you missed it. I feel confident that we'll go through it again in the same way. Listen, I said it before, I was the biggest believer of celebrity in general, that celebrity would help grow products. And I said that concretely, because I buy products that celebrities sell. I was very excited by that. And we love the team over with Wiz and Mistercap, but we all decided on dialing back the marketing blitz and the big push, because a couple of things. Well, one, the direct-to-consumer approach we told you was awfully expensive. Amazon fees were, the margins were much thinner, by the time we got to the COGS and FBA fees and everything. So, we originally thought we're going to do this massive marketing push, spend a lot of money, but then we're like, are we going to get a return? Because we kind of did start out that way, and we didn't, we instantly didn't see a return. And in this era of a lot of companies used to raise $50 million and literally put $50 million into marketing and just have like one simple product. I can tell you a great success story. I don't know if you want to share his model, but it worked at the time. He put everything back into marketing as funds came in and it was a mattress company. I'll leave it at that. And that was a very successful approach that I'd learned from mentors. It wasn't working out of the gate. We already started seeing it not working, because of consumer spending habits, and it being more of a produce, rather than a product. And so, we quickly did, dialed that back and we're focusing on business-to-business sales. And we wanted to make sure and I'll give credit to the Mistercap team. They take a lot of pride in the Khalifa name and they take a lot of pride in ensuring that everything is like as perfect as it can be. And as we're learning with scaling up of the mushroom growth that we talked about, scaling was difficult that when it was only a few hundred kits a week, we had perfect kits. We've been honest as you've scaled up, we haven't had perfect kits all the time. So we wanted to ensure that all this came together properly. We're talking with the Mistercap team and we're slowly thinking about this retail approach, but we've sort of dialed it a little bit back in the focus. It's actually more on Happy Caps. Again, I mentioned that earlier, it's become an organic, genuine brand, that's really growing. And we're seeing a lot of big retailers really love the Happy Caps brand as well. It's - we're in discussions with a very large retailer right now for Happy Caps. And we're very, very excited about what that could potentially lead to. And Mistercaps is slower than I thought it would be too. And again, as Will had asked, as a CEO, how do you pivot? How do you tweak? How do you sort of correct and rectify? And the last thing we wanted to do is invest all this marketing money into something that wouldn't sell. So, we were very cautious with this and looking at other strategies of business-to-business and a slower approach with Mistercap right now.
Unidentified Analyst: Okay. But is there a plan to expand into Europe as pre-planned before? I mean, like I understand it's slow right now, but what's the plan going forward? How do you see?
Todd Shapiro: Yes. So it's interesting, we have Hans in - and Hans should really join us on these calls. Hans got a really big order for, and we talked about in the MD&A for home grow kits in Germany. And so, think of it as you're a salesperson and you're like, okay, we have this brand, we have this brand, we can white label a brand. You got to listen to the retailer, to the person who's making the purchase order. So there's three options there. And, you know, we present to them and, you know, a neatly designed sales brochure of their options. And people are either leaning on Happy Caps or some are actually white labeling or creating their own brands, or we have a mini champ brand as well in the Netherlands. So that big order very well could have been a Mistercap home grow kit, but they chose to use another brand of the home grow kit. We're still producing the home grow kit. We're still, selling it and having margins in it. And that's a big order. It's an 80,000 kit order. And the first order went out, I don't know the exact number, but I think like a few thousand anyway, it'll be sort of like, hopefully these sort of weekly and monthly orders there. But we give optionality, to our end retailer. And right now the Mistercap thing just hasn't caught on as much as we thought it would.
Unidentified Analyst: Okay. Okay. Sounds good. Thank you very much.
Todd Shapiro: You're welcome. Claudio.
Unidentified Company Representative: Claudio's the last one.
Unidentified Analyst: Hi there, Todd. Good afternoon. So, we have met a couple times in the past. And so, I myself, I've been in food manufacturing for just about 25, 26 years now. So from that aspect, and obviously not that food manufacturing is directly tied in here. But just thought I'd ask the question of grants. Grants have been extremely accessible, for the past few years. Last year was really strong for the government to give grants to agriculture-based companies to manufacturing companies. So my question is, and you've probably already, gone down that road, maybe. But if not, do you plan on going down that road and, working with a consultant that would be, they're sometimes privy to, what's going to come about, from these fund programs. And if you haven't, or if you want to talk to somebody else I could probably, put you in touch with, a company that I work with, on our side of things, which have been really, really, really effective for us. And we're talking to the tune of millions of dollars here.
Todd Shapiro: Congrats on building a great business, Claudio. And yes, I mean, listen, we should always talk if you think there's opportunity. What I would do at that point is defer you to our farming partners, to Mike Medeiros. We have very seasoned guys. Mike's the President of Mushrooms Canada. A couple of them sit on the Canadian Federation of Agriculture Board of Directors. And they understand the grant programs. They understand the FCC. They are in, probably just as privy to everything you are. But yes I, every email that, and we've had a lot from great shareholders or somebody wanted to maybe even be the GC of the project. And I always just put them and I don't - like the word delegate. We just share in this, great management team of ours, to the people who really know what they're doing. I like being a good conductor to make sure that we're directing off the proper, proper conversations to go on. So let's get in touch with Mike. And if Mike says he's already explored those avenues, then we'll know not to go down. And if you opened up something that he doesn't know, he'd be super grateful for that for sure.
Unidentified Analyst: Yes, certainly. So I'll shoot you off an email tomorrow regarding that. And I guess just one last comment and which kind of ties in with, you know, sometimes working with different people, again, as I'm sure you guys know, is looking for people that specialize in certain areas and not, you know, trying to say, well, we're going to be able to do everything, you know, go at it alone all the time, just to prove a point sometimes. So and I guess that ties in with, getting formalized consultants, due to their expertise. So I congratulate you guys for that. And hopefully, it becomes a winning combination and beneficial for shareholders of both companies and for both companies as a whole. So yes, again, congratulations. 
Todd Shapiro: Thank you, Claudio. We value every single one of our partners and we think it's saved Red Light Holland, and its shareholders an absolute ton of capital. I think where a lot of the cannabis companies went wrong, was they had so much money. And then I think a lot of them thought they could do it themselves. Whereas, we raised a bunch of money, but we also understand how quickly money goes. Especially, corporate costs are a lot of money, legal opinions, audits, valuations on any company you purchase. I mean, the behind the scenes of being a publicly traded company, the added costs are immense and they're pressure filled, to be honest. Because you're always looking ways, to cut back. And instead of just diving in and building a farm, we partnered with the farmers, who had a dormant farm, saved a lot of money in construction. Instead of just maybe spending endless amounts of money on buying a lab that typically aren't revenue generating, we started working with CCrest and save on costs. Even working with Mike, Nick and Steve - I'm just saying this out loud, they would bug me going like, where's our consulting fees? They don't get consulting fees. They're giving us some of the best knowledge possible that would probably cost companies literally at this point, millions of dollars for what they've done on their private farms. So, Claudio, you make a very good point. I know that I've talked 98% of this entire shareholder call, and the credit of all this growth, is based on our management team and our partners, and obviously listening to shareholders. And hopefully, I always mention fail forwarding and celebrating the wins that we have had, but we could not do this without a collective group and that's exactly how we continue to operate moving forward.
Unidentified Analyst: Fantastic. Two hours is long enough. All of you guys, I appreciate it.
Todd Shapiro: Listen, I'm the only guy in Vegas not having a drink right now. No, I mean, this mushroom conference.
Unidentified Analyst:  Well, time to go have one Todd.
A - Todd Shapiro: I'll leave it on this. We're at the National Mushroom Conference in Las Vegas and with the biggest farmers in the world. And I feel quite proud as a team. I mean, a couple of us a few years ago and I'll give credit, we were a great consultant on our staff. And we were hammering back, and forth with fewer catalysts in the mushroom space. And we realized that this coalition, this everything mushroom company would be a great strategy, because a mushroom, is a mushroom, is a mushroom at the end of the day. And whether it's immune boosting, whether it's cognitive support, whether it's mental health support, we're learning a lot about the science of mushrooms. And that's a big thing going on in this conference, this week and never before, have people brought up psilocybin, but now the biggest mushroom companies in the world are starting to talk about it and there are speakers, David Nutt, there's other individuals, who have trauma who were speaking at this conference. So, we'd like to think we were visionaries. We brought the mushroom world together, mass mushroom farming with sort of this, optimistic high risk, but potential of breaking down regulations and if and when more regulations permit, that would be a great marketplace for psilocybin. And we're starting to, we're the cool guys right now. I'm not going to lie, like my conversation starter is amazing. Who are you? Yeah, I'm Todd. What do you do? I sell magic mushrooms. It's an amazing, amazing conversation starter and we're getting the absolute ear of some of the biggest guys across the world who grow mushrooms and of course in Canada, our partners are phenomenal. So, we like this path. We really do this everything mushroom path and we think that again as we're proving every quarter, increasing revenues and doing it slow and patient growth. We talk about with the end goal though of helping humans across the world that the core focus is being psychedelic. So I think on that note, you know, on behalf of David Ascott, our CFO, Troy DuFour, our senior VP of Sales, as we now focus again more on a business-to-business strategy rather direct-to-consumer, because we think it saves us money. Ultimately in the bottom line of getting products out there. And of course all the wonderful work that Shashkes is doing and now working with PharmAla and CCrest Laboratories, collecting data, getting the ear of major scientists and from that data. We're excited and I don't know if we have a slide showing you all the risks, so I want to make sure you refer to the press releases, or to the video that we'll put up for the forward-looking information. But, at the end of the day, we value all the support of these shareholders. You the shareholders and thank you for giving us two hours and 10 minutes today and listening to this guy talk probably far too long. But thank you again. Thank you for being as candid and as open as possible. We always want to be the same way, so feel free to always reach out. I hope you have a great afternoon, a great evening, and a great day, and we look forward to the future growth with Red Light Holland and the you all.